Operator: Good day, ladies and gentlemen, and welcome to the Universal Stainless Fourth Quarter 2018 Conference Call and Webcast. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Ms. June Filingeri. Ma'am, you may begin.
June Filingeri: Thank you, Lauren. Good morning. This is June Filingeri of Comm-Partners, and I also would like to welcome you to the Universal Stainless conference call and webcast. We are here to discuss the company's fourth quarter 2018 results reported this morning. With us from management are Denny Oates, Chairman, President and Chief Executive Officer; Chris Zimmer, Executive Vice President, and Chief Commercial Officer, Paul McGrath, Vice President of Administration and General Counsel, and Chris Scanlon, Vice President, Finance, Chief Financial Officer and Treasurer. Before I turn the call over to management, let me quickly review procedures. After management has made formal remarks, we will take your questions. The conference operator will instruct you on procedures at that time. Also please note that in this morning's call, management will make forward-looking statements under the Private Securities Litigation Reform Act of 1995. I would like to remind you of the risks related to these statements, which are more fully described in today's press release and in the company's filings with the Securities and Exchange Commission. With these formalities complete, I would now like to turn the call over to Denny Oates. Denny, we are ready to begin.
Denny Oates: Okay, June, thank you. Good morning, everyone. Thanks for joining us today. As our results show, we hit a rough patch in the fourth quarter of 2018 after achieving three consecutive quarters of strong sequential and year-over-year sales growth coupled with strong profitability and EBITDA. A stronger-than-expected seasonal order pattern was evident as several customers delayed shipments into the first quarter of 2019, contributing to a $12 million sequential decline in sales. That drop was against a backdrop of rising economic worries, a drop in oil prices and unresolved geopolitical issues, including the China US trade issue. On the plus side, the aerospace market remained on a strong growth track and it helped us to help drive our premium alloy sales in the quarter. We ended the fourth quarter with record backlog and a healthy order entry. In fact order entry in January has continued on a strong track and is approximating $23 million to $25 million as we sit here today, that would be before surcharges. I’m also pleased to report that we achieved record sales for the full year 2018. Taking a closer look at the fourth quarter details, fourth quarter sales totaled $57.1 million, up 13.5% from the fourth quarter last year, although they were 17.4% lower than the 2018 third quarter. Full year sales increased 26.3% to a record of 256 million. Fourth quarter premium alloy sales totaled 8.1 million, an increase of 10.7% from the fourth quarter a year ago or 11.4% lower than the third quarter of 2018. Full year 2018 premium alloy sales increased 50% to a record 41.1 million or 16.1% of total sales. Gross margin declined to 11.3% of sales compared with 12.3% of sales in the fourth quarter of 2017 and 15.1% of sales in 2018 third quarter. We had five issues that negatively impacted our margins. First, general inflation on supply items continued with a noteworthy spike in electrodes which are a critical consumable in electric arc steel making. Electrode pricing have risen from $2 a pound a year ago to a blended average of approximately $6 a pound today. While we do surcharge for electrodes, the rapid rate of increase temporarily exceeded our ability to recapture the higher cost. We expect this relationship to come into balance as the market stabilizes this year. Second as in the case for electrodes commodity prices fell sharply leading to a misalignment of surcharges and melt cost. Specifically nickel ended the year at $4.92 per pound a drop of 13% since September and a significant decline of 28% versus the 2018 high of $6.85 a pound that occurred back in June of this year of 2018, rather. Nickel prices are on the rise in 2019 and currently stand at $5.25 a pound. The misalignment of electrodes and raw materials we estimate amount to about 180 basis points in the fourth quarter and roughly $0.10 a share. Third, while fourth quarter output from our manufacturing facilities was at the highest level since the second quarter of 2012, our productivity in terms of output per equipment hour and per labor hour were below past performance. Specifically our melt shop in Bridgeville struggled through numerous maintenance issues during the quarter which were resolved during a one-week outage earlier this month. Issues related to negotiating our new labor contracts are behind us as well. We estimated that impacted the first quarter by approximately 100 basis points or $0.05 a share. Lastly, we recorded a $700,000 physical inventory adjustment which amounted to 120 basis points in the quarter or $0.06 per share. This was related to physical inventories taken at three of our facilities in the first week of December. On a positive note our new bar cell in Dunkirk is coming to life as commissioning activities proceed. We processed about 100,000 pounds on the line including some customer orders. In some cases, manufacturing cycle times which currently take days have been done in 20 minutes. Surface finish and overall quality of the product is proving to be substantially better than industry standards. Fourth quarter net income totaled $400,000 or $0.05 per diluted share, compared with breakeven performance in the fourth quarter of 2017 before a tax benefit, a net income of 4.4 million or $0.44 per diluted share in the third quarter 2018. Full year 2018 net income increased 38% to $10.5 million or $1.26 per diluted share. With regard to our financial position, we enter 2019 much stronger because of initiatives in 2018, adding to our flexibility to pursue our long-term strategy. Turning to our major end markets let’s start with aerospace. Aerospace sales represented 62% of total sales in the fourth quarter of 2018, up from 56% of sales in the fourth quarter last year and 54% of sales in the 2018 third quarter. Fourth quarter aerospace sales totaled $35.1 million, which is up 23.7% from the fourth quarter of '17 although 5.9% lower sequentially. Full year aerospace sales increased 33.2% to 148.9 million or 58% of total 2018 sales. The aerospace market remains on a strongly positive trajectory as evidenced by year-end production reports from Boeing and Airbus. Earlier this month Boeing reported delivering a record 806 airplanes in 2018, including 257, 737 Maxes and a book to total of 893 net orders for the year. Meanwhile Airbus delivered 800 airplanes in 2018, versus 718 the prior year, although their order rate was down somewhat from 2017. Even so Airbus' backlog at year-end 2018 represent more than nine years of production or Boeing's backlog represents an estimated seven years of production. Both plane makers are scheduled to increase narrow body production this year and are expected to announce even higher rates in 2021. Another positive development global passenger traffic is continuing at healthy levels. According to latest reports from international Air Transport Association, which noted that revenue passenger miles grew 6.2% year-over-year in November. That trend supports continued aftermarket growth. IATA also reported that freight traffic remained level with a very strong October. Overall, we expect the aerospace market to continue to drive our growth for the foreseeable future. The heavy equipment market remained our second-largest market in the fourth quarter of '18 representing 16% of total sales compared with 15% in the fourth quarter of '17 and 19% of sales in the third quarter of '18. Fourth quarter 2018 heavy equipment sales which are primarily tool steel plate sales totaled 9.1 million, an increase of 20.8% from the fourth quarter last year but 32.1% lower than the record level in the third quarter of 2018. So the seasonality of our tool steel business which I described many times in the past was especially strong this past year. However, total heavy equipment market sales increased 23% in 2018 from 2017, we expect additional growth in 2019 and bookings so far in early January support that view. The oil and gas end market remained our third largest market in the fourth quarter of 18 representing 11% of total sales versus 9% of sales in the fourth quarter of 2017 and 13% of sales in the third quarter 2018. Fourth quarter oil and gas sales totaled 6.3 million, an increase of 31.6% from the fourth quarter of 2017 but lower by 29.6% sequentially. For full-year 2018 our sales for the oil and gas market rose 65%. Sediment change rapidly in the oil and gas more substantial drop in oil prices as much higher than expected shale production combined with effective geopolitics to create concern about the balance of global supply and demand. Schlumberger cited those factors in their recent earnings report and although they also said that they expect a gradual recovery in oil prices over the course of '19. They added though that current oil price volatility is adding more uncertainty to the outlook for both drilling and production in North America, although they expect international markets to grow in the high single digits in the coming year. For universal we remain optimistic about prospects in oil and gas in 2019 as we continue to benefit from the capabilities of our North Jackson facility and we have entered into new year with healthy orders and backlog. While our customers acknowledge the current crosscurrents within the industry, the consensus is that 2019 will be a solid year on par with 2018. Power generation, the power generation market sales represented 3% of total sales in the fourth quarter of 2018, compared with 9% of sales in the fourth quarter of '17 and 4% of sales in the 2018 third quarter. Fourth quarter 2018 power generation sales totaled 1.9 million which is down 55.1% from the fourth quarter last year and lower by 28.5% sequentially. Demand in the power generation market continued to fade in the fourth quarter with little maintenance spending and no signs of new turbine builds. We will continue to pursue any opportunities that arise but expect our power generation sales to be a small portion of our total sales mix for the foreseeable future. Our general industrial market sales were 7% of sales in the fourth quarter of '18, compared with 9% of sales in the fourth quarter of '17 and 7% of sales in 2018 third quarter. General industrial sales totaled $3.8 million, a decrease of 19% from the fourth quarter of 2017 and down 25% sequentially. They rose 2.3% for the entire year 2018. Our general industrial business serves the semiconductor, medical, infrastructure and general manufacturing markets. The slowdown in the chip sector in the fourth quarter, which is made more challenging by US China trade tensions contributed to the softness we experienced in the quarter. The sector is expected to reach a trail in mid 2019, at least according to most analysts. Meanwhile the world semiconductor trade stats organization is forecasting 2.6% growth in the global semiconductor market in '19 with 1.4% growth in the Americas. That versus 19.6 growth in North America in 2018 and 35% growth in '17. Fortunately the growth outlook for the balance of the markets in our general industrial business remains positive. Let me take a minute and turn the call over to Chris Scanlon. Chris would you give us your financial report please.
Chris Scanlon: Thank you, Denny good morning everyone. Let’s start with P&L. As Denny noted fourth quarter 2018 sales of 57.1 million were up 13.5%, compared with the 2017 fourth quarter and down 17.4% or 12 million from 2018 third quarter. 2018 full year sales reached a record level of 255.9 million and were up 26.3% compared with prior year sales, increased 2018 revenues were driven by all end markets except for power generation. Our aerospace end market sales increased 37.1 million year-over-year. Fourth quarter gross margin totaled 6.4 million or 11.3% of sales, down 380 basis points from the 2018 third quarter and down 100 basis points from the 2017 fourth quarter. As Denny noted in the 2018 fourth quarter our gross margin was negatively impacted by melt cost misalignment comparable to our commodities surcharges. Additionally, the sequential decline in gross margin was driven primarily by supply item cost increases, which included increased electrode cost. We also experienced lower productivity associated with the labor contract negotiations as well as unplanned maintenance issues primarily in the Bridgeville plant. Lastly we recorded physical inventory adjustments totaling approximately 700,000 or $0.06 per share, which further reduced fourth quarter gross margin. These physical inventory adjustments decreased fourth quarter gross margin by 1.2%. Turning now to selling, general and administrative costs. Fourth quarter SG&A was 5.6 million or 9.7% of sales, an increase of 428,000 compared with the 2018 third quarter and a 438,000 increase compared to the 2017 fourth quarter. Employee related cost drove the SG&A change between periods, driven by executive recruiting fees as well as yearend accrual activity true ups increased and compared to the third quarter of 2018 and the prior year fourth quarter. Our tax rate for the year ended December 31, 2018 was 15.4% and included approximately 900,000 of favorable research and development credit items, partially offset by the expiration of fully vested stock options. Specific to our fourth quarter the income tax provision was a benefit of 441,000, primarily due to the favorable impact of R&D credit related items and to a lesser extent updates to valuation assumptions related to state deferred tax assets. Net income in the fourth quarter was 583,000 or $0.07 per diluted share. Third quarter 2018 net income totaled 3.9 million or $0.44 per diluted share. 2017 fourth quarter net income totaled approximately 7.9 million or $1.06 per diluted share. Note the prior fourth quarter net income was driven by income tax benefits associated with the 2017 Tax Cuts and Jobs Act. Before that tax benefit income in the prior year fourth quarter was at breakeven levels. Full year 2018 net income totaled 10.7 million or $1.28 per diluted share. Take at look at EBITDA next, fourth quarter EBITDA levels totaled 5.4 million, a decrease of 4.7 million or 47% sequentially and a decrease of 370,000 or 6% compared to the fourth quarter of 2017. Full year 2018 EBITDA totaled 35.6 million and increased by 12.7 million or 55.6% compared to the full year 2017 EBITDA of 22.9 million. Adjusting for non-cash share compensation expense 2018 fourth quarter adjusted EBITDA was 5.7 million. The EBITDA and adjusted EBITDA calculation provided for in the tables of the press release. Turning to the balance sheet. The end of the fourth quarter managed working capital totaled 123 million and decreased by 13.9 million, compared with the third quarter of 2018. Accounts receivable decreased by 11.6 million and inventory increased by approximately 12 million while accounts payable increased by 14.3 million. Our increased inventory levels supported our higher backlog which grew by $14.8 million during the quarter up to a record 126.2 million. Capital expenditures for the fourth quarter were 2.2 million with year-to-date capital expenditures totaling 15.4 million. Prior year fourth quarter capital expenditures totaled 3.3 million with 2017 prior year capital expenditures totaling 8 million. Increased 2018 capital expenditures relate to strategic spend primarily our new midsize bar cell unit at our Dunkirk facility. As Denny previously noted, our bar cell unit began commissioning in the fourth quarter. Our year end restricted cash balance totaled 400,000, which represents a 5.8 million reduction from the third quarter. The reduction in restricted cash favorably impacted our debt levels as restricted cash was used to pay down revolving credit facility borrowings. Our restricted cash is related to use of a new markets tax credit program funds, these funds assisted in the financing of our midsized bar cell capital project. Taking a look at debt, the company's total debt at December 31 was at 46.7 million, a decrease of 15.7 million from the prior quarter, net of cash and restricted cash our debt totaled 42.7 million at the end of the fourth quarter. Our fourth quarter, debt level reduction was primarily driven by favorable working capital changes. Additionally, as previously noted, restricted cash receipts also reduced our revolving credit facility at year end. Lastly our decreased year end debt level, combined with our 2018 adjusted EBITDA will allow us to achieve the lowest pricing tier within our PNC credit agreement. This concludes the financial update and with that Denny I'll turn the call back over to you.
Denny Oates: Okay Chris, thank you. So in summary we wrapped up a challenging quarter recently, let me say four things about it; first strong aerospace fuel bookings and record backlogs. One of the highest output quarters in the company history and the highest since the second quarter of 2012. Strong cash flows which enabled us to reduce debt substantially. Pressured margins however caused by misalignment of surcharges and commodities, including electrodes which we expect to stabilize this year. Manufacturing issues which have been addressed in one-time physical inventory adjustment. From an annual perspective we achieved record sales of 256 million, grew premium melded products over 50% to $41 million, reflecting the hard work over the years and garnering customer approval for all those new products. Our balance sheet was strengthened significantly, margins on the year did expand despite the decrease in the fourth quarter, we completed the installation and initial commissioning of a state-of-the-art bar cell in our Dunkirk facility. And lastly, I'd like to introduce Alyssa Snider our new Vice President of Human Resources and Chief Human Resource Officer. A key addition to our staff, I’m looking forward to working with Alyssa to continue to develop our organization and build the skills in this organization that carry out a strategy we focus on in the future. I also want to take this opportunity to thank all of our employees for their hard work and dedication and their support during '18 and look forward to building on our successes in 2019. A year that begins with record backlogs, continued strong bookings and many opportunities to profitably grow our business, consistent with our long-term strategy. With that operator we'd love to take some questions.
Operator: [Operator Instructions] Our first question comes from Michael Gallo with C.L. King. Your line is now open.
Michael Gallo: Denny, just kind of digging a little bit on the gross margins, obviously you back stepped a little bit in the back half and the litany of kind of a onetime items you know, so I guess does anything from that linger into the first quarter first half of 2019 when I looked at nickel prices which have been a headwind surcharge misalignment, things like that reversed pretty sharply here really in January. Obviously, the inventory charge shouldn't reoccur, it would seem like the demand side continues to be pretty strong, given your order entry and your backlog. So how quickly can you get back to the mid-teens margin are there any lingering issues that carry into the first quarter? Or do you think the fourth quarter was kind of just abnormally low and it will work its way out for you?
Denny Oates: Well, let me take those issues one at a time give you my perspective on it. As far as the physical inventory adjustment goes that’s a one time, it's done, it's passed, that’s not going to continue. Okay that was 120 basis points roughly, $0.06 per share. The manufacturing issues largely had to do with productivity in our facilities. Most of those issues were maintenance related. We did take our melt shut down in the first week of January and fixed a number of things such as a tilt mechanism in our electric arc furnace and so forth. So, from my standpoint, we have addressed those maintenance issues at melt shop. We have also had some issues in our hot mill, we have an outage scheduled for the next week actually in our hot mill here in Bridgeville to address those issues. So my expectation is those issues are largely behind us, we still have some work to do in the first quarter however from a maintenance standpoint. As far as the misalignment goes, the first quarter I don't think it will be eliminated. It is true that nickel has improved, but if you look at the trend our surcharge had a two month lag, as you know. So the surcharge in January is based upon what we saw in November and February based upon what we saw in December, so we know that surcharges will continue to decrease modestly. If you look at nickel alone in first month of the year here in January has increased, so you will see an inflection in surcharges beginning in March of this quarter. So that's one piece of the equation, the picture of curve, surcharges will continue to dip in January and February and start to increase in the month of March. If you look at the cost side of that equation with each passing month we are shipping product that was made with lower input cost, that’s the whole source of the gap. So that should be easing as we move through the first quarter. So the conclusion of all that talk is I do not expect the misalignment to totally disappear in the first quarter but I expect it to be smaller perhaps in the range of half. So as far as margin goes what that means in terms of margin, we are 11.3% if we look at this you said get back to the mid-range of gross profit margins if mid range is defined in your mind as 14% to 16% I think we have an excellent shot in the first quarter, given the misalignment that will continue this year, to get in the low end of that range. Does that answer?
Michael Gallo: It does, but Denny just want to dig in a little bit on oil and gas, I mean obviously, there's been a lot of questions about that area just given the volatility in the marketplace and some of the questions about that, particularly given your exposure to more deepwater kinds of markets. So I guess you mentioned you still feel pretty confident that that can be pretty similar in '19 than it was '18 in terms of sales and still seeing good order entry and I know that that could be pretty volatile, but can you speak to just some of the increased capabilities, whether you are selling more products into new markets and more land-based markets or what gives you confidence that can be similar in '19 and what state.
Denny Oates: I'll just take a crack at that, then I will turn it over to Chris Zimmer our Chief Commercial Officer to add to my comments. As we look at our customer base my comments really basically to what our customers are telling us, which in summary would be we read the same stuff you're reading Denny, we see the same stuff on TV, we do see the cross currents is the term I used in my script. But it's not as bad as what you’re hearing or what you're seeing and from their standpoint they're looking at year 2019 it's comparable to '18 in terms of the level of business they doing with us. That’s the source of my commentary, Chris do you want to add anything about the products we’re offering out of North Jackson.
Chris Zimmer: I think the headlines are talking about what maybe a leading indicator for out year but what we see in 2019, both from our existing backlog coming into the year and continued strong entry here in January is that we see continued growth expansion in oil and gas. It's on the exploration side, it does go into offshore projects anywhere where there is a sour patch and aggressive environment. The ability to grow on that business is coming primarily out of North Jackson off of the radio ports there and the new capabilities that brings to the company. So what we see for '19 is the support of projects that have already been launched and feel pretty good about '19, continuing to expand in oil and gas.
Operator: Thank you. Your next question comes from Lucy Guo with Cowen & Co. Your line is now open.
Lucy Guo: Shipments was also down sequentially still up the year-over-year but down sequentially kind more than I thought given your order rates and your record backlogs and maybe if you can address that and more with the orders numbers for Q4, please.
Denny Oates: I mean the fourth quarter is always a seasonal slower quarter. Last quarter I believe I said that I expected it to happen but not to the degree it actually did. So I was a bit surprised to be candid with everybody at the magnitude of the push outs into the first quarter and I was surprised at the seasonality, given that the strength in the overall marketplace. We take a look at the raw numbers we're down 12 million you can see that it was mostly service center accounts that pushed it out. Large service centers basically hit all the markets that we serve. I don’t know that any one market stood out to me in terms of what was pushed out. In terms of quantifying it gets a little difficult to pick out individual orders and which ones could have gone and didn’t go. I would just say that we had just under $4 million sitting on our docks ready to go at the end of the year. $4 million dollars worth of product. Chris I don’t know if you have anything to add about the seasonality or what happened in December.
Chris Zimmer: Yes, I would echo that. When we look at how our product goes to market largely through service centers there is a cyclicality to how they manage their inventories in support of their business and traditionally, that is front end heavy in the first half of the year. So any of the true ups to their inventory, whether it's an internal inventory objective that they're trying to achieve or just truing up their inventory against what they are seeing for demand. The fourth quarter is always an adjustment period but what we see and what we know going into the first quarter is a strong backlog. We got whip and motion to support it, a lot of that ready to ship and go out the first week of January and has shipped already. So that that traditional seasonal first quarter bounce back in the fourth quarter is the part of what we expect to see happen here as we move into '19.
Lucy Guo: That’s good to hear. Would you have the orders number the last two quarters were around 72 million per quarter the order intake?
Chris Zimmer: Yes, they are with me. So the second quarter order entry for the company was at record levels. I'm just pulling them together here. We may have to get back to you with that. From the historical perspective the second quarter was the strongest we've experienced followed by our second-biggest in the third quarter. We have continued to see strength in the fourth quarter and we haven't seen signs of order entry slowing down right now so that's indicative of what's happening with our backlog at that 126 2 number, millions of dollars in the backlog going in so that order entry indicator is still strong. Denny has got some numbers here.
Denny Oates: So Lucy, if we go back to the first quarter of 2018 I'll give you the sales bookings, just keep in mind these numbers exclude surcharges okay. So first quarter was 68.5 million, second quarter was 71.5 million to Chris's point that was the all time record. Third quarter was 69.2 million and the fourth quarter was 66.6.
Lucy Guo: That’s good to know, thank you.
Denny Oates: As I said in my prepared comments we are tracking just under 25 million so far this quarter, this month rather. So you can extrapolate from that the level of activity in the market. Hopefully that helps.
Lucy Guo: And maybe just finally if you can address a little bit specifically to the premium products, how you are seeing that shape up given the nickel price surcharge dynamics et cetera?
Denny Oates: Well, I think we are very pleased what we saw in 2018, I mean everybody in this company has worked very diligently on the long-term strategy and it was very frustrating process to begin to start getting approvals and then we entered a couple of years were relatively slow in the industry in '15 and '16 so it's been nice the last couple of years particularly '18 to see a 50% growth in something you have been working since the North Jackson acquisition. As far as 2019 goes we see continued opportunities to build on that growth it won't be the same percent obviously, but we still see opportunities to grow that business. We continue to get additional approvals and hook up new customers through things that we were not doing in the prior years. Chris I don’t know if you have anything add to that.
Chris Zimmer: Yes, I'd echo that, the premium alloys are going to continue to be the fastest growing portion of our business and we expect to see that continue in '19 not only transactional activity, but long-term agreements that we are continuing to lockup primarily with aerospace customers. So some major helicopter producers, bearings companies and multiple different product lines are coming online in '19 and we have more in the works for '19, it will realize in '20. So there is a tail to the development, the approvals but it's exciting to see the shipments finally start to be realized and the revenue expansion in those products.
Operator: [Operator Instructions] And our next question comes from Phil Gibbs with KeyBanc Capital Markets. Your line is now open.
Phil Gibbs: Denny, the inventory adjustment that you pointed out the $0.05 issue what was that predominantly related to?
Denny Oates: It was $0.06 and 120 basis points, it was $700,000 and it was a complete wall-to-wall physical inventory than we did in our Dunkirk, North Jackson and Bridgeville facility in the first week of December. So there wasn’t a valuation issue or anything like that.
Phil Gibbs: I understand that I'm trying to piece together what the why you would have taken a charge I guess related to your inventory.
Denny Oates: We took a physical inventory count and that was the difference between what we had on our books and what we actually found in the shop. There may be elements of that that may come back to us as we continue to process but there was literally a difference between what we had on our books and what we counted.
Phil Gibbs: Got it and then how are you looking to manage the inventory moving forward, I think it was little heavier than we thought, obviously part of that was due to some of the deferrals from the distributors in the fourth quarter, but maybe remind us of some targets of yours in terms of managing that down and what those expectations are for efficiency there.
Denny Oates: We’re managing to, we want to get our managed working capital and that’s sort of the bigger picture, managed working capital down so it's 40% of sales. So inventory is the key component of that. Our view on inventory as we do expect further growth in inventory in 2019, we expect that inventory value to be somewhat lower based upon where raw material costs are. And we expect to get higher turns and so we would expect to see higher sales in 2019 and lower inventory balances by the time we get out of the year. And in terms of absolute turnover our turnover is a little over two, we expect to get it up in the range of 2.4. And I would just mentioned as a reminder, we have about $6 million, $7 million continuously of R&D inventory which is product we made, it's good inventory, but it's something we're doing as a part of our approval and research process to support the North Jackson.
Phil Gibbs: And just a couple of confirmation items, Danny you said first quarter gross margins you expect to be on the lower end of the 14% to 16% range.
Denny Oates: Mid teen margins and that’s kind where my head is right now. I want to make sure we're defining everything, everybody got a different definition so the mid teens is the 14% to 16% range. I would expect we would be on the low end of that range. Obviously the physical inventory is not going to be continuing. We expect improvement in manufacturing and the misalignment I expect to ease not go away.
Phil Gibbs: And then Chris, you just remind me what to what your CapEx was for '18 and what the budget is for '19, and what’s composed in that budget.
Chris Zimmer: CapEx levels were 2018 were 15.5 million approximately. Our 2019 spend should approximate that dollar amount. 2018 has strategic spend related to the bar cell unit that number approximated $7 million. We had activity related to maintenance expense, our maintenance CapEx that comprised the rest of that. Strategic spend in '19 will continue with various projects but we will not have a project like the bar cell. It will be a series of other strategic spend related projects. And maintenance spend should continue at roughly about 6 million to 8 million in 2019 as well.
Operator: And that does conclude today's question-and-answer session. I would now like to turn the call back over to Mr. Oates for any concluding remarks.
Denny Oates: Okay, thank you. Once again I want to thank everybody for joining us this morning. We sincerely appreciate your ongoing support and interest in Universal and look forward to updating you on our progress in our next call which will be in April. Have a great day. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program and you may all disconnect. Everyone have a wonderful day.